Operator: Hello, ladies and gentlemen, and welcome to participate in IT Tech Packaging’s Second Quarter 2020 Earnings Conference Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. Joining us today are Mr. Zhenyong Liu, IT Tech Packaging’s Chairman and Chief Executive Officer; and Ms. Jing Hao, the Company’s Chief Financial Officer. Remarks from both, Mr. Liu and Ms. Hao will be delivered in English by interpreters. IT Tech Packaging announced its second quarter 2020 financial results via press release yesterday, which can be found on the Company’s website at www.itpackaging.cn. First, Mr. Liu will brief you on the Company’s key operational highlights over the second quarter 2020, and then Ms. Hao will review the Company’s financial results. Before we start, I would like to draw your attention to our Safe Harbor statement. Management’s prepared remarks contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical fact in its announcement are forward-looking statements, including but not limited to, anticipated revenues for the corrugating medium paper, tissue paper and offset printing paper and face mask business segments; the actions and initiatives of current and potential competitors; the Company’s ability to introduce new products; the Company’s ability to implement capacity expansion; market acceptance of new products; general economic and business conditions; the ability to attract or retain qualified senior management, personnel and research and development staff; and other risks detailed in the Company’s filings with the Securities and Exchange Commission. These forward-looking statements involve known and unknown risks and uncertainties and are based on current expectations, assumptions, estimates and projections about the Company and the industry. The Company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectations except as may be required by law. Although the Company believes that the expectations expressed in these forward-looking statements are reasonable, it cannot assure you that these expectations will turn out to be correct and investors are cautioned that actual results may differ materially from the anticipated results. There is a presentation document featuring management’s prepared remarks and it is now available for download from the company’s website at www.itpackaging.cn. Please note that there will be discussions on non-GAAP financial measures or EBITDA, or earnings before interest, taxes, depreciation and amortization. Please refer to our press release for a complete reconciliation of EBITDA to net income. As a kind reminder, all numbers in our presentation are quoted in U.S. dollars. And all comparisons refer to year-over-year comparisons unless otherwise stated. I would like now to turn the call over to Mr. Liu. His comments will be delivered in English by [indiscernible] from EverGreen Investor Relations. Ms. Shi, please go ahead.
Unidentified Company Representative: Thank you, operator, and good morning, everyone. Thanks for joining our second quarter 2020 earnings conference call. Despite our sales and operations were impacted by the COVID-19 pandemic during the first quarter we made improvements in the second quarter as our people products business recovered as new face mask business launched in April generated revenue of $0.9 million with gross margin of 59.5% in the second quarter. Our tissue paper continued 100 growth in revenue and hit a historical high with sales volume up 2,884 tons. Due to the pandemic impact to downstream industry we experienced a 13% to 21% decrease in ASP over all paper products categories. However, except for offset printing paper we did not see much sales volume fluctuation from our people products during the second quarter. So we believe the underlying demand for our products remains strong and we expect the overall performance will continue to be improved as the ASP for all paper products becomes stabilized when the pandemic economy recovery continues through the whole industry [gene]. Now I will turn the call over to our CFO, Ms. Jing Hao who will review and comment on the second quarter financial results. Her comments will be delivered in English by my colleague Janice Wang. Jenice, please go ahead.
Operator: Ms. Wang your line is open. Please go ahead. Ms. Wang?
Janice Wang: Thanks [indiscernible] and thanks everyone for being on the call. Next on behalf of the management team I will summarize financial results for the second quarter of 2020. Also I will occasionally refer to specific production lines associated with various products. I will make clear which products I'm referring to reference the numbering system for our production license provided on slide number 18. Now let's look at our financial performance for the second quarter of 2020. Please turn to slide number 7. For the second quarter 2020 total revenue decreased 21.6% to $26.4 million due to the decrease in average selling prices for all paper products combined with a significant decrease in sales volume of offset printing paper, which was also partially offset by the increase in sales volume of tissue paper products. Turing to slide 8. For the second quarter of 2020, the CMP Segment including both regular CMP and lightweight CMP generated a revenue of $21.9 million representing 83% of total revenue. $70.4 million of revenue was from our regular CMP products and the $4.5 million was from lightweight CMP. CMP segment volumes slightly decreased by 1.6% to 59,590 pounds of which 46,979 pounds were regular CMP and the 12,611 pounds were lightweight CMP. Average selling price or ASP for regular CMP decreased by 15% to 370 per ton and ASP for lightweight CMP decreased by 15.4% to 357 per ton. Turning to slide 9. For second quarter of 2020 the offset printing paper generated a revenue of $1.3 million decreased by $5 million of 79.8% from the same period of last year. The offset printing paper volume decreased by 74.5% to 2,183 tons ASP for offset printing paper decreased by 24.7% to 578 per tons. Turning to slide 10. Tissue paper products generated a revenue of $2.4 million increased by $1.2 million or 100.2% this resulted from sales of 2,884 tons of tissue paper products with a [130%] increase at an ASP of 825 per ton with a decrease of 13%.
,: Slide number 12 summarizes the changes in our revenue mix for second quarter of 2020 total cost of sales decreased by $6.9 million to $23.8 million leading to total gross profit of $2.6 million 12% decrease from the gross profit of $2.9 million for the same period of last year. And overall gross margin of 9.7% for the second quarter of 2020. For the second quarter of 2020 SG&A expenses increased by 39.4% to $3.4 million and loss from operations were $0.8 million compared to income from operations of $0.5 million for the same period of last year. Operating loss margin was 3% compared to operating margin of 1.6% for the same period of last year. For the second quarter of 2020 net loss were $1 million resulting in a net loss of $0.04 per basic and diluted share. This compared to a net income of $0.5 million or net income of $0.02 per basic and diluted share for same period of last year. For second quarter of 2020 earnings before interest, taxes, depreciation and amortization decreased by $1.7 million to $2.9 million from $4.6 million for the same period of last year. Now shifting the gear to year-to-date financial results. For this month ended June 30, 2020 total revenue decreased 31.3% to $35.1 million as a result of decreases in ASP for all paper products combined with significant decrease in sales volume of offset printing paper products. This was also partially offset by increases in volume of tissue paper products. For six months ended June 30, 2020 the CMP segment including both regular and lightweight CMP generated a revenue of $29.6 million representing 94.4% of total revenue. $23.1 million in revenue was from our regular CMP products and $6.5 million was from lightweight CMP. Volume for the CMP segment decreased by 17% to 78,257 tons of which 50,767 tons were regular CMP and 17,500 tons were lightweight CMP. ASP for regular CMP decreased by 14.8% to 380 per ton while ASP for lightweight CMP decreased by 40.3% to 372 per ton. For six months ended June 30, 2020 our offset printing paper segment generated a revenue of $1.3 million was shipped 2,183 tons of offset printing paper for six months ending June 30, 2020 a decrease of 74.5% from the same period last year. ASP for offset printing paper decreased by [22.7%] [indiscernible] per ton. For six months ended the June 30, 2020 tissue paper products generated a revenue of $3.4 million increased by $0.3 million or 11.1%. This is resulted from sales of 4,069 tons tissue paper products with 42.4% increase at an ASP of 832 per ton with a decrease of 22%. For six months ended June 30, 2020, first mask generated a revenue of $0.8 million with sales volume of 6,280,000 pieces of face mask. For six months ended June 30, 2020 total cost of the sales decreased by $15.6 million to $32.7 million leading to total gross profit of $2.4 million and a decrease of 20% from last year. Overall gross margin of 6.8% reflects an increase of 1.5 percentage points from last year. For six months ended June 30, 2020 SG&A expenses were $6 million compared to $5.4 million for the same period of last year. Loss from operations increased from $2.6 million to $3.7 million. Operating loss margin were 10.4% compared to operating loss margin of 5.2% for the same period of last year. Net loss was $3.4 million or $0.14 loss per basic and diluted share compared to net loss of $2.3 million a net loss of $0.10 per basic and diluted share for same period of last year. For six months ending June 30, 2020, earnings before interests, taxes, depreciation and amortizations decreased from $5.4 million to $4 million for the same period of last year. Moving to slide 19 and 20 let's look at our balance sheet and liquidity. As of June 30, 2020 the company had a cash and bank balances short term debt including bank loans, current portion of long-term loans from credit union and related party loans and long-term debt including loans from credit union of $12.8 million, $10.4 million and $5.2 million respectively, compared to $5.8 million, $8.3 million and $7.4 million respectively at the end of 2019. Net account receivable was $3.2 million as of June 30, 2020 compared to $3.1 million as of December 31, 2019. Net inventory was $5.9 million as of June 30, 2020 compared to $1.6 million at the end of 2019. As of June 30, 2020 the company had a current asset of $27.8 million and current liabilities of $16.6 million resulting in a working capital of $11.2 million. This was compared to current assets of $24.04 million and the current liabilities of $16.8 million resulted in a working capital of $7.2 million at the end of 2019. Net cash provided by operating activities was $5.9 million for second quarter 2020 compared to net cash used in operating activities of $0.8 million for the same period last year. Net cash used in investing activities were $0.98 million for the second quarter of 2020 compared to $5.02 million for the same period last year. Net cash provided by financial aid activities were $2.3 million for second quarter of 2020 compared to net cash used in financial activities of $5.3 million for the same period of last year. If you have any questions please contact us through email at ir@itpackaging.cn. Management will respond to your questions through emails as soon as possible. Operator, let's go ahead.
End of Q&A: Thank you for attending IT Tech Packaging's second quarter of 2020 earnings conference call. This concludes our call today and we thank you all for listening in. Goodbye.